Operator: Ladies and gentlemen, thank you for standing by. Welcome to the REX American Resources Fourth Quarter and Fiscal 2012 Conference Call. [Operator Instructions] I would now like to turn the conference over to Doug Bruggeman, Chief Financial Officer of REX American Resources. Please go ahead, sir.
Douglas L. Bruggeman: Good morning, and thank you for joining REX American Resources Fiscal 2012 Fourth Quarter and Full Year Conference Call. We'll get to our presentation and comments momentarily, as well as your question-and-answer session, but first I'll review the Safe Harbor disclosure. In addition to historic facts or statements of current conditions, today's conference call contains forward-looking statements that involve risk and uncertainties within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements reflect the company's current expectations and beliefs, but are not guarantees of future performance. As such, actual results may vary materially from expectations. The risk and uncertainties associated with the forward-looking statements are described in today's news announcement, in the company's filing with the Securities and Exchange Commission, including the company's reports on Form 10-K and 10-Q. REX American Resources assumes no obligation to publicly update or revise any forward-looking statements. I'd now like the turn the call over to Stuart Rose, Chairman of the Board of REX American Resources.
Stuart A. Rose: Thank you, Doug, and thank you, everyone, for listening. REX is an alternative energy company, primarily invested in ethanol plants. We currently are invested in 700 million gallons of ethanol production on an annual basis, of which our share's approximately 255 million gallons. Our sales last year were $174.6 million in the fourth quarter versus $170.5 million. That was up 2% for the year. Our sales were $657.7 million versus $409.9 million. It was up 60.4%. The sales increase was caused primarily by the consolidation of our NuGen plant on a full year basis. Earnings for the quarter were a $4.4 million loss or $0.54 a share versus $14.5 million in income or $1.72 a share in the fourth quarter last year. Gross profit for 2012 was $13.5 million versus gross profit in 2011 of $34 million. Earnings for the year were a loss of $2.3 million or $0.28 a share versus a profit of $28.3 million or $3.08 a share. We had cash at year end of $69.1 million. Of that, $47.7 million was at the parent level. Last year, we had $46.1 million at the parent level. We continue to sell our real estate portfolio. We now have approximately $12.5 million on our books. We continue to try to monetize that, and we now consider that fairly insignificant, as our net worth is $246 million. We purchased shares in the fourth quarter of 31,902. Total share count now is 8,151,846. The loss for the year and for the -- was caused by a difficult fourth quarter. The industry had some occurrences that -- 3 major occurrences that affected us drastically. The first was lower demand from the suppliers. Our suppliers had over purchased ethanol the year before, and there was an overhang in the market. They were required to purchase more last year. They were able to carry forward some of their prior year purchases. And thus, the demand was not out there from our customers in the fourth quarter as they had purchased -- many of them had purchased what they needed to purchase prior to that. We also had drastically lower crush margins. The crush -- and this again was caused by the lower demand. The crush margin is a price-relative production versus -- the price of corn relative to what we can sell it for relative to the end selling price. In October, we had a negative crush margin of 28 -- or the industry had a negative crush margin of $0.28. The industry had a negative crush margin in November, $0.27, $0.28 again in December. These are all negative, which, again, it's an industry figure that basically monitors the cost of corn versus the selling price of ethanol. The higher basis on -- the other thing that we were affected by was a higher basis on our corn. Usually, we pay well under market for our corn. There was a drought in our areas. The drought caused us, actually, to have pay well over market during this quarter. And again, that affected our profitability and caused the fourth quarter loss. We were partially offset on this loss by higher DDG prices. DDG is a byproduct of the corn, so proteins and some of the nutritional value that we save in the corn. We were able to save that and sell that for a little more in the fourth quarter because of higher corn prices. We also had a strong market for our corn oil, which is another byproduct of corn. And as corn prices go up, that also went up. Industry conditions currently have drastically changed since the end of the last quarter. A lot is different today in the first quarter than it was in the fourth quarter. Demand has significantly increased. What's happened is government-required purchases have gone up this year. Our customers have to purchase 13.8 billion gallons versus 13.2 billion gallons last year. The supply right now has decreased. A number of plants have either cut back on their production or slowed down on their production. So currently, crush margins are going up significantly as we speak. As I said earlier, they were running roughly down negative $0.28 in December. January industry crush spreads are negative $0.23. February, negative $0.13. March, negative $0.03. Now we can make money at these type of crush spreads because of our byproduct, the byproduct being the DDGs and the corn oil. And again, with high corn prices, those prices have stayed very, very strong. So again, currently, things have completely turned around, and things are significantly better. We, at this point, expecting a significant improvement, not only over the fourth quarter but over our numbers last year in the first quarter. We expect significant gains quarter-to-quarter during the quarter that we're currently operating in. And again, I think this is a tribute to our people. They had the foresight to keep the plants open. They had the foresight to open corn oil plants, and we've managed to keep our plants at full production so we're ready for what's going on now. We did not have layoffs. We used last year, even though it was not a great year, not a good year at all in terms of earnings, but we did pay down debt. We have a good relationship with our banks, and we're operating now at full capacity. We're making money. In terms of how we look at the rest of the year, we expect this to continue. We expect our suppliers, as long as a mandate is in place, we expect a good strong market for our product. The demand and profitability should be there, but there is still some problems on the horizon, the biggest problem being the shortage of corn. That will continue to September. In September, our farmers are planting large, large amounts of crops. We're in great corn areas. If there is no drought, corn prices should be down. We would expect to pay under basis in the markets that we serve. But again, we're -- until September, we will be in a position where corn prices are going -- or the corn market is going to be tough, and that's going to be a problem. The flip side of that is DDGs should be strong through September. The customers who -- we're a very viable alternative to corn, and the DDG market very much follows the corn market. And the crush spreads, because of the shortage of corn and because our customers have to buy our product, should be good. So again, we look for a good period of time, but with the caveat that corn prices are going to be tough through September. Next year -- this year, as I mentioned earlier, the mandated purchases go up to $13.8 million; following year, $14.4 million. Demand should stay strong. As far as we can see and if corn becomes available in September and we can actually buy corn below basis again, we should be in what I consider boom times. The only problem will be that there are a number of plants that have shut down or closed up. They could conceivably come back, are people that have really cut back seriously in their production in a big way, they could come back online. And that, of course, would increase supply and has a tendency with more supply to lower crush spreads. Overall, we're optimistic. We've shown our strength by being able to remain at full production. We've shown that our plants are among the best in the industry. During these difficult times, we have not just survived. We paid down our debt. We showed that we can operate even during the worst of times at full capacity. Again, we're happy to report that we're back to profitability this quarter. Back to, again, not just profitability, but increased profitability over what we had done this quarter last year. I'd now like to open the forum up to questions.
Operator: [Operator Instructions] And our first question comes from the line of Paul Resnik with Uncommon Equities.
Paul Resnik: Well, I'm glad to hear that -- I've been watching the crush spreads improve, and I'm glad to hear that you're looking back -- at a return to profitability. Looking a little bit further out to the new crop, I know that it's hard to make judgments on a period where you really can't kind of lock-in the spread. But looking right now at the new crop corn prices and the future prices for ethanol in the fourth quarter, what kind of spreads are you looking at there?
Stuart A. Rose: Well, the crush spread, if you look on the board in the fourth quarter, is very good for us. It's a very profitable crush spread. But as you mentioned earlier, it's really -- we could lock in the corn purchases. It's really hard to lock in ethanol sales that far in advance. We -- but if you're going to use that as an indicator of how our fourth quarter should be next year and if there is a good crop -- right now, we're paying over basis for our corn. We can buy corn under basis like we have normally done, under what the -- basis is what the board shows, then that would be -- it would be fantastic for our company. So we'll see what happens. But we -- if there is no drought and there is no guarantee that there won't be and droughts, many times, are regional, we should be in really good position to do well. And again, even during the worst of times, where we had everything going against us, we have the best plants in the industry. We still survived, and you don't see any shut down plants. You don't see any people not working for us. You see debt being paid down. And it didn't take much of a turn around for us to move right back into not just profitability but better profitability than last year.
Paul Resnik: Good. And just a broader question, the kind of slow progress for E15. Could you just give me your thoughts about E15 and where it's going? And what the prospects are?
Stuart A. Rose: We don't think -- we don't have great hopes for E15. Anything that happens is a bonus, but we've never run our business expecting E15 to amount too much, mainly because the way the law -- the way the EPA approved it was not for all companies -- or excuse me, not for all cars. So it would -- because it would require each gas station to put in separate gas tanks for E15. And currently, because ethanol sells for less than gasoline, it would lower that number that you see on the street by a little bit. But I don't think the gas station owners are going to put in another pump unless they can -- unless that extra profitability is passed to them. At the moment, I just don't see it.
Operator: And our next question comes from the line of Brent Sims with Crédit Suisse.
Brent Andrew Sims: There's been a lot of research that we've particularly put out upon the effects of RINs and what they're going to be doing to the marketplace going forward. Could you elaborate on your position versus the RINs and how you see it being a benefit to the industry or a negative going forward?
Stuart A. Rose: RIN prices is a huge benefit to the industry. Right now, RIN prices are very strong. What RINs are, are what oil companies have to pay if -- they have to either buy RINs or buy ethanol to meet the mandate. And the RIN market, because there's so little supply out there in ethanol, the RIN market has shot way up, so the customers now prefer to buy ethanol than RINs, which is good for us, which has caused the crush margins to get that much stronger. And so we expect -- good way to follow the industry is follow the RIN market. If the RIN market is strong, then we're going to be healthy and making good money, even during these times where corn is in such -- hard to get supply. So that would be -- a strong RIN market is a strong REX.
Operator: [Operator Instructions] Our next question comes from the line of Katja Jancic with Sidoti & Company.
Katja Jancic - Sidoti & Company, LLC: Could you provide any guidance on capital expenditures for this year and maybe next one?
Douglas L. Bruggeman: For fiscal 2013, we'd expect capital expenditures to be about $2 million to $3 million. We just haven't put out anything out for fiscal 2014 yet, but we normally just put out 1 year in advance.
Katja Jancic - Sidoti & Company, LLC: So do you think maybe this would be kind of a $2 million to $3 million would be reasonable to think going forward that the capital expenditure would be around this level?
Douglas L. Bruggeman: Yes, I do for now. Yes.
Operator: And our next question comes from the line of A.J. Strasser with Cooper Creek Partners.
A.J. Strasser: Just a couple of questions. First off, I guess, Doug, this is maybe more for you. Can you just give us what the ethanol revenue was? Specifically, revenue from ethanol, not including the corn oil and the DDGs that you guys normally break out in your Qs and Ks?
Douglas L. Bruggeman: Yes, let me get that in front of me and go with your next question. I'll get that answer for you.
A.J. Strasser: And Stuart, maybe you can just -- I just wanted to make sure. So you guys are making pretty good money, it sounds like it, at this particular point. And just -- the commentary had suggested that you would go profitable once the industry went profitable but I just want to make sure. It sounds like you're right...
Stuart A. Rose: I don't know that the industry is profitable. The once, again, we have state-of-the-art Fagen/ICM plants, and they are the best in the 100 million gallon. They're the best in the industry. Whether the industry is profitable with a negative -- still negative 3 crush spread, I don't speak for the industry, but I speak for REX. And we have become not just profitable but significantly more profitable than we were last fourth -- last first quarter.
A.J. Strasser: That's great. And with my math, it sounds like you guys were doing something along the lines of about $0.13 a gallon even in the last -- in Q1 of -- this last Q1. So that would...
Stuart A. Rose: I -- again, I don't have that. I don't want to comment on exact numbers except to say that we're significantly better than we were last year.
A.J. Strasser: Okay. And can you just talk about -- you're [ph] kind of the profitability of some of your nonconsolidated plants versus your consolidated plants? I mean, just -- are they...
Stuart A. Rose: They're about the same. The ones that are not hit by drought as much did a little better. The drought was not 100% across-the-board. The ones that were hit worse by drought did a little worse. It's all tied to -- it's 100 -- it's all tied to what people can buy corn for. And the 2 consolidated plants were hit pretty hard by drought, especially -- actually, both of them. And so that's caused our price of corn in those 2 plants to be higher. Some of the other consolidated plants -- or unconsolidated plants, excuse me, were not hit as hard. They did a little better. And we only own anywhere from 5% to 27%, I think it is, so it's not -- even if they -- it's not that significant. On an individual plant basis, it's not that significant. Overall, the unconsolidated is significant.
A.J. Strasser: And then maybe just if you can comment on your kind of your intent for the share repurchase program and whether or not you -- obviously, the stock's moved up a little bit. Are you guys going to be buyers on an ongoing basis? How should we think about that?
Stuart A. Rose: Our history has been to buy on dips, and I don't think after doing it for this many years, you're going to see much change in that. We protected the shareholders on the downside with our buyback and probably have one of the most successful buyback programs in the United States. I don't think anyone has -- we haven't bought it to cover options. We haven't bought it to -- for a number of the other reasons that people buy it. We bought it just to stabilize the stock when we think irrationally it's gone to crazy low levels.
A.J. Strasser: And if you can allow me just one more question here, just kind of maybe you can give us your sort of kind of qualitative outlook here, Stuart. Just -- all things considered, just given the run-up in RINs, given, especially, if corn comes down, I mean, 2012 was a bad year. 2011 was a great year. If RINs stay at these levels and things kind of come your way and the industry remains sort of somewhat rational, do you think that we can end up being better than '11? Or how do you kind of think about that?
Stuart A. Rose: I -- '11 had $0.45 a gallon going to our customers. This year, our customers' RINs are selling for more than $0.45 a gallon. And I think if RINs average more than $0.45 a gallon for the year, yes, we could very well -- and the customers have to buy a lot more this year, so there is that potential that we could, again, if RINs stay higher than $0.45, I think there's that real possibility we could do really good numbers.
Douglas L. Bruggeman: A.J., circling back to your earlier question on the ethanol sales for the fourth quarter, our sales for ethanol were $128.9 million. And for the full year, $495.3 million.
A.J. Strasser: And can you just tell me what the gallons sold, the ethanol gallons sold during the quarter?
Douglas L. Bruggeman: Sure. For the 2 consolidated plants, in total, was 56.4 million gallons.
A.J. Strasser: Got you. And then just one last housekeeping item. You guys broke out -- reported a little bit differently. You didn't give us gross profit. Could you just tell us what gross profit for ethanol was as you normally do?
Douglas L. Bruggeman: Well, the gross profit as shown on here on the income statement for the quarter was a minus $2.6 million. The vast majority of that is the ethanol business.
Stuart A. Rose: For the year, gross profit was $13.536 million, which, again, as Doug said, is mostly ethanol, virtually all ethanol.
Operator: Mr. Rose, there are no further questions at this time. I will now turn the call back to you. Please continue with your presentation or closing remarks.
Stuart A. Rose: Very good. Thank you, everyone, for listening. And again, we're glad to report that we're back to profitability and thank everyone for being a shareholder. Thank you.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.